Operator: Ladies and gentlemen, thank you for standing by. Welcome to the DISH Network Corporation Q4 and Year End 2016 Earnings Conference Call. During the presentation, all participants will be in a listen-only mode. Afterwards, we'll conduct a question-and-answer session. As a reminder, this call is being recorded, Wednesday, February 22, 2017. I would now like to turn the call over to Jason Kiser, Treasurer. Please go ahead.
Jason Kiser - DISH Network Corp.: Great. Thank you. Thanks for joining us everybody. This is Jason Kiser, Treasurer here at DISH Network. I'm joined today by Charlie Ergen, our Chairman and CEO; Tom Cullen, EVP of Corporate Development; Roger Lynch, CEO of Sling TV; Erik Carlson, President of DISH Network; Steve Swain, our CFO; Paul Orban, our Controller; and Stan Dodge, our General Counsel. Before we open it up for Q&A, we do need to do our Safe Harbor disclosures. So for that, we'll turn it over to Stan.
R. Stanton Dodge - DISH Network Corp.: Thanks, Jason, and good morning everyone, and thank you for joining us. We ask that media representatives not identify participants or their firms in your report. We also do not allow audio-taping and ask that you respect that. All statements we make during this call that are not statements of historical fact constitute forward-looking statements which involve known and unknown risks, uncertainties and other factors that could cause our actual results to be materially different from historical results and from any future results expressed or implied by such forward-looking statements. For a list of those factors, please refer to the front of our 10-K. All cautionary statements that we make during this call should be understood as being applicable to any forward-looking statements that we make wherever they appear. You should carefully consider the risks described in our reports and should not place undue reliance on any forward-looking statements which we assume no responsibility for updating. As part of the process for the broadcast incentive auction, we filed an application to potentially participate as a bidder for those spectrum assets. Because of the FCC's anti-collusion rules, we will not be answering any questions about the incentive auction during today's call. Operator, you will now open the call up first for analyst Q&A and then for media Q&A.
Operator: Thank you. And our first question comes from the line of Philip Cusick of JPMorgan. Please proceed with your question.
Philip A. Cusick - JPMorgan Securities LLC: Thanks. Charlie, two – one a long shot, I guess. First on the auction, one small company, U.S. Cellular, has reported how much it committed for the auction. Stan's warning notwithstanding, can you talk it all about what you've committed? And then would it be more likely on the DBS side, churned down nicely, can we think of this year as more normal versus the last couple where you were raising credit requirements and cutting back on credits? Thanks.
Charles William Ergen - DISH Network Corp.: The answer to the first question is no, we cannot comment. The second question is on DBS churn, again, I think we've said this a lot of times, but the churn you have today is what you did last year and the year before that, so it's always a lagging indicator by probably 12 months or so. In that sense, yes, I think that maybe, Erik, you want to talk about some of the things you're doing. But I think we certainly are more disciplined geographically and credit-wise on the linear side of the business and have been and maybe you want to speak to what you're doing now, Erik.
W. Erik Carlson - DISH Network Corp.: Yeah, I think that's right, Charlie. So this is Erik. I mean, I think we've been more disciplined both on the front end from a credit requirement from customers, and as Charlie alluded, geography-based. Obviously, there's more competition where there's densified broadband, and that leads us to – on the DBS side of the business to look for areas where there's less competition and where our investments can, obviously, be more profitable for a longer period of time. So, both of those things have been many in place for the latter half of 2016. And as Charlie alluded to, I mean, we've also definitely improved on our willingness to give credits to customers to buy down price points. So one of the things we did last year, obviously, with Flex Pack is to introduce a package, which helps us both on the retention and the acquisition front and provides options for customers that only need to buy programming that they watch. And where that benefits us, really, is a bit on the margin side and not having to buy down customer price points, so we can right-size customers with that Flex Pack. So I think all of those – those things have been in place in 2016. You're starting to see some of those effects with our churn rate, and then obviously there's some effect on new acquisition by – I mean, by not bringing on customers that we'll lose money on. Obviously, we – and focusing only on geography where we think we can be successful long-term. I mean, obviously, that shrinks the market a little bit on the DBS side.
Philip A. Cusick - JPMorgan Securities LLC: Erik, can you give us an idea of what share of your existing customer base is in those areas where you feel like you can be competitive long-term?
W. Erik Carlson - DISH Network Corp.: Yeah, so I don't think we go into that level of detail. But just broad brush, I mean, obviously, we're focused more on – especially having the Sling product, right, we focus on areas where there's not dense broadband, as I said. And obviously, our Sling product obviously is great for those areas where there is a high-speed broadband. And obviously, Roger can touch on that in a minute if you'd like.
Philip A. Cusick - JPMorgan Securities LLC: Thanks, guys.
Operator: Our next question comes from the line of Brett Feldman of Goldman Sachs. Please proceed with your question.
Brett Feldman - Goldman Sachs & Co.: Thanks. And just sticking with the video trends, obviously you had a pretty good result in Pay-TV net adds this quarter relative to expectations. And churn obviously played a role in that on the DBS side. I was hoping you could maybe give us a little more color on the trends you're seeing in Sling TV, and I'm particularly interested in whether that trend line was affected at all by the launch of DIRECTV NOW later in the quarter. Thanks.
Roger Lynch - DISH Network Corp.: Yeah, hi, this is Roger, Brett. So DIRECTV NOW launched at the end of November. And my take on what we saw is an expansion of the OTT market by their entry. So we didn't see through the quarter any change in the momentum that we had on Sling TV including in the month of December after they launched. We know that they added a lot of subscribers in that month. So our hope, we've been expecting more competition for quite a while for Sling TV, and our expectation has been that as new entrants enter the market, the market just expands faster, which is typically what you see in early-stage markets like this.
Brett Feldman - Goldman Sachs & Co.: If I could just ask a follow-up question, I'm curious to your thoughts on the importance of the merits of bundling Sling with network access because that's obviously one of the points that AT&T makes with DIRECTV NOW, especially now that the FCC has effectively endorsed zero rating?
Roger Lynch - DISH Network Corp.: Well, AT&T put a lot behind their bundling of DIRECTV NOW with their wireless service and zero rating their DIRECTV NOW service, but the market seems to have moved since then where everyone's gone to unlimited data, which, from a Sling perspective, is good news because while the vast, vast majority of viewership of Sling is on TVs in the home, there's a lot of access that people use their cell phones for, and including the way we acquire subscribers. And so, zero rating, unlimited data, I think is quite good overall for Sling.
Charles William Ergen - DISH Network Corp.: Yeah. And this is Charlie. Just in a bigger picture response to your question, I mean, I think the linear television, traditional trends, I think, still continue to be down. I don't think that that is going to change in the future. And the OTT trends are up. And I think those are just general trends that have been going on for two or three years. And I think the question will be just whether they – they really haven't accelerated in a material way, but at some point perhaps they will, particularly as more people come into the OTT market. And I think the other piece of it is that Roger and his team and Erik and his team working with programmers to the extent that programmers – that's the decline of linear TV will probably be in part be driven by how programmers react if they continue to raise prices, continue to have 16 to 18 minutes of advertising an hour, and you can go to an OTT world that's a little bit more consumer-friendly and there's better economics in digital advertising in an OTT world, then the acceleration will increase. But there's other things that could be done that would maybe stem that tide. So I think it's a bit – we're not the biggest player in the industry, but I think we have a very good feel for where the trend lines are, and we think there are certainly things you could do to beef up linear TV, if the programmers are willing to do that. And to the extent that they're not, the OTT probably trend will accelerate.
Brett Feldman - Goldman Sachs & Co.: Great. Thanks for taking the question.
Operator: Our next question comes from the line of Walter Piecyk of BTIG. Please proceed with your question.
Rich Greenfield - BTIG LLC: Hi. Thanks. It's actually Rich Greenfield solo this call. Walt would have joined, but he's stuck in an English pub somewhere in Epcot Center, I think purely to spite me on my Disney short thesis. But in all seriousness, Charlie, I just wanted to expand on that last point that you just made vis-à-vis the shift to OTT, and what could actually be done by the programmers to actually improve – like what are you talking about, what types of things should programmers be thinking about? And I'm particularly interested in kind of a follow-up on Sling, for the first time ever you're going to have your programmers in direct competition with you. It sounds like any day now, or any week now, you're going to have Hulu launching. And your programming partners who you pay are now going to be competing directly against you. And I'm just wondering how you think that impacts your relationship on the programming partner side?
Charles William Ergen - DISH Network Corp.: Yeah. Let me take the second part first. We already have, to some degree, programming partners competing with us certainly on the premium side, that already exists. And of course, I don't view that as a positive for people in the distribution business. And certainly, Hulu will have a dramatic impact on Roger's business, Sling, we would expect. But obviously it's going to grow the market, too. So we just have to be prepared for that competition, that we will see how good we are as a team as we faced increased competition on that side. On the linear side, I think you've got to make linear TV look more like an OTT product. I think there's simple things if you talk to people who – I think there are simple things where people like – one of the reasons that people I talk to like Netflix is you can watch commercial-free, and you can binge view. And that's kind of hard to do on linear TV today, but technically it would be relatively easy to duplicate some of that. So, and people like linear TV, having a hard drive in their home, and having more access to it. There's a lot of positives about what linear TV can do. So I think you just have to give programmers who are willing to do those kind of things, to the extent that programmers also are in Hulu they may be less inclined to do it. So we'll just have to wait-and-see. Our job is to go with our content partners and say here's how we jointly can make our business better. And it's a long process, and each company moves at a different pace, and each has a different strategy, and each is in a different strategic position. But I do think that we can at least at DISH Network I think that we can make our linear product more consumer-friendly and make it look a little bit more like the things people expect to take some of the benefits of OTT and incorporate it in linear, but we have to have willing partners to do that. And then, whether they want to do that and we technically can do it. Let's put it that way. Anything, you want to add – I mean, Roger, anything on the Sling side from the competition?
Roger Lynch - DISH Network Corp.: I think – yeah – I think – look, there's a lot of rumored launches coming this year. Hulu is probably one of the biggest ones. And I would expect that they'll do a good job with their launch. And that will have an impact on our market share, certainly just like I'm sure DIRECTV NOW had an impact on our market share. Then the question is how quickly will the market grow? And, as I mentioned with that earlier question, what we saw in December looked to me like the market grew at least as fast as DIRECTV had its subs because we didn't see an impact on our activations through December. But at some point, there'll be enough competitors that they'll outpace the growth of market.
Rich Greenfield - BTIG LLC: And, Roger, it sounds like you've expanded what the definition of Sling TV's mission is. I mean, when you started, it sounded like really focused on Millennials. I remember the original launch at CES, it was all about going after kind of the cord-nevers or the cord-cutters. And it seems like now you're really expanding to go after any household in America that wants lower cost video. Are you seeing a shift in where your gross adds are coming from, meaning coming from traditional Pay-TV, cable/satellite versus from literally new adds, meaning people that have never had cable before?
Roger Lynch - DISH Network Corp.: You're right, Rich. When we first launched, our focus was people who had already cut the cord or Millennials cord-nevers. That was in part because, we had – our launch service was a dozen channels, right, for $20. No locals. It was a pretty slimmed-down content offer and also we knew that or we expected that what we'd be going after are early adopters which tend to be young males and we had strong sports focus so that sort of fit that demo pretty well. Since then, we've added a lot of content. We have over 100 channels now. We have locals in many of the major markets. And so we are able to attract a much broader audience than we were able to in the beginning. Plus, we're starting to get past at least the early phase of early adopters and able to attract people who are more comfortable switching to something like this now. So we're seeing a broadening in our demographic. It's not quite as male as it used to be. It's – we're getting people of all age groups. I got a letter from an 85-year-old the other day who's a customer of Sling. And I think we will continue to see that. And I think Netflix sort of helps plow the road for us on that front by bringing more and more people who are less technically inclined into the market for a service like this.
Charles William Ergen - DISH Network Corp.: Yeah. Rich, this is Charlie. I think we're getting kind of dragged into that. Because, I mean, obviously, the DIRECTV NOW product was directly – is directly a cable or satellite TV replacement. I mean, it's almost identical of programming packages and tiers. So, Sony is very similar to that as well. So the rest of the industry is going that way. I mean, I think we'll get – we've gotten dragged into that, and it's – maybe it wouldn't be my first preference for how it will go, but I think it's probably inevitable. So it's probably more of a timing issue. But I think that OTT today is becoming a direct replacement for cable and satellite.
Rich Greenfield - BTIG LLC: Thank you very much. That's really helpful.
Operator: Our next question comes from the line of Vijay Jayant of Evercore ISI. Please proceed with your question.
Vijay Jayant - Evercore Group LLC: Hi. Charlie, just a question about the recent transaction with EchoStar. I mean the logic behind moving back the set-top box business and the uplink business and giving up the broadband business. And given what the multiples are for those businesses, in my opinion, there was an implicit value for Sling there for that 10%. Can you help us understand sort of what kind of valuation that that is what you thought is worth on that transaction? Thanks.
Charles William Ergen - DISH Network Corp.: Yeah. Vijay, I don't know that I can answer the valuation question. I can tell you that the logic of why we did, why we realigned – we swapped assets. It was almost 10 years ago when we split the companies apart. We had a logic to why we're doing it. We had a theory on where we thought the market was going to go. Some of those theories didn't turn out to be exactly right. For example, we thought that the set-top box business, from an EchoStar perspective, we could go out and get – as a separate company, we could go out and get other people in the industry, cable industry and other parts of the world. And we just really weren't that successful. And now with OTT proliferation and video becoming more of an app, the set-top box business is not nearly – in terms of set-top box, we just don't see as good a long-term future in that side of the business. And at the same time, DISH became very dependent on EchoStar for core services whether it'd be uplink services, backhaul for local channels, technology, and it made more – and then it made more sense for DISH to be in control of their own destiny for those assets. And then on the flipside of it, EchoStar, with acquisition of Hughes and the success that Hughes has shown was becoming more of a – they really are unique and the ability to build and launch high throughput satellites with all the technology that goes around that, there weren't really – there's really only a few companies that do that in the world today. And they're now able to focus their resources on the satellite and high throughput and broadband satellite side of the business which we think is a growing worldwide – they think is a growing worldwide business. So really it just aligns the resources to where they want to be I think. I think there's a secondary benefit. If you look at – you also can look out there and say, there's probably going to be M&A activity out there in the future, and may perhaps the administration is more attuned to that. And this probably aligns the assets in a better way to participate potentially in that as well.
Vijay Jayant - Evercore Group LLC: Great. Thanks so much.
Operator: Our next question comes from the line of Marci Ryvicker of Wells Fargo. Please proceed.
Marci L. Ryvicker - Wells Fargo Securities LLC: Thanks. Since it is the end of the year, could you so kindly provide us with the Sling net sub numbers?
Charles William Ergen - DISH Network Corp.: No.
Marci L. Ryvicker - Wells Fargo Securities LLC: Just kidding. Okay. A couple other questions. SAC has been declining and we're getting about $536 per gross add in the fourth quarter. In the 10-K, you say that this should continue to remain low. Is it going to remain this low, any thoughts on that? And then secondly, for cash taxes, it looks like the cash tax rate was 25% in 2016. Is this something we should think about going forward?
Charles William Ergen - DISH Network Corp.: On the SAC, I mean, I'd say that SAC for Sling is very low, and SAC for DISH is probably still in the historical range that's been, but when you – but given that there's some momentum within Sling, that's the primary driver to bring it down. And so, I think a lot depends on the ratio between Sling and DISH. But if it's on the current trend, it's probably in that range. I'll let – Steve, you should take the tax question, or Paul, one of the two.
Steven E. Swain - DISH Network Corp.: Yeah, sure, Marci. Yes, cash taxes were up year-over-year, over $400 million. The increase in cash taxes in 2016 was due to an increase in DISH's pre-tax earnings relative to 2015 and a sizable taxable gain that we recognized related to DISH's derivative positions. In 2017, without a realizable taxable gain on derivatives, and of course, we're not factoring in any potential impact of the current auction because we can't comment on that. We do expect to pay less cash tax in 2017.
Marci L. Ryvicker - Wells Fargo Securities LLC: Okay. And then any thoughts on how potential tax reform could impact you?
Steven E. Swain - DISH Network Corp.: So in the long-term, we think that DISH will probably benefit, like most businesses, with tax reform. Historically, though, our cash tax rate has been lower than the statutory rate. So the impact of a lower corporate tax rate may not have as big of an impact to DISH, cash taxes in the short-term. But, of course, the new tax policy has yet to be passed. So we really can't speculate on the impact to DISH.
Marci L. Ryvicker - Wells Fargo Securities LLC: Got it. Thank you.
Operator: Our next question comes from the line of Ric Prentiss of Raymond James. Please proceed with your question.
Ric H. Prentiss - Raymond James & Associates, Inc.: Thanks. Two, if I could. One, you mentioned how the asset exchange is kind of aligning and you're having self-control. As you think about some of the other satellite services you receive from EchoStar, there's a couple of satellites that are coming up on the end of either the useful life or the termination date. Any thoughts of what we should be expecting in those costs either OpEx or CapEx?
Charles William Ergen - DISH Network Corp.: I think typically the – I would say typically we leased those pretty much to the end of the useful life. But I don't – I think – I don't know whether some of those satellites are actually pretty close to end of life, which means we probably wouldn't extend their life. But if they have life, we typically utilize those. We do have a satellite launch scheduled. There is a satellite launch scheduled later this year (23:55) capacity that may give us some flexibility. But I think that's an EchoStar-owned satellite again (24:00).
Ric H. Prentiss - Raymond James & Associates, Inc.: Okay. And...
Charles William Ergen - DISH Network Corp.: So I didn't answer your question. I really don't know.
Steven E. Swain - DISH Network Corp.: Yes. If you look at our 10-K, we have one satellite that is the leased ends and...
Ric H. Prentiss - Raymond James & Associates, Inc.: September 2017.
Steven E. Swain - DISH Network Corp.: What was that? 12?
Ric H. Prentiss - Raymond James & Associates, Inc.: September of 2017, is that the one?
Charles William Ergen - DISH Network Corp.: Yes.
Steven E. Swain - DISH Network Corp.: Yes. And we likely, given the orbital slot that's in, we likely will not renew that lease.
Charles William Ergen - DISH Network Corp.: And that's probably because it's close to end of life.
Steven E. Swain - DISH Network Corp.: And it is close to end of life, yes.
Ric H. Prentiss - Raymond James & Associates, Inc.: And then on your spectrum, can you update us kind of on build plans, or how are you doing as far as getting spectrum into the ecosystem of handsets or infrastructure?
Charles William Ergen - DISH Network Corp.: Yeah. I mean, I think that we talked about it in the last shift (24:52) thing. There's going to be a really a fundamental shift in wireless technology with 5G, and you're reading a lot about it. Because it brings lower latency, a lot faster throughput, enables Internet of Things, in particular narrowband Internet of Things for massive Internet connectivity. So we see that it makes logical sense for us to build a network not like the current incumbents have but with utilizing the new technology. So in other words, we can build a network that's completely an IP network, take advantage of all the 5G technologies and also take advantage of the virtualization of the core, for example, so that, well, the smarts are in the cloud instead of being on the tower. So there's a lot of – which means you're building – as a matter of fact, as your build-out cost is a lot less and your OpEx is a lot less, and you have a modern network that has much more capacity than networks do today. So that's what we're focused on. It would be logical for us to – there's a couple different elections we could make in terms of build-out. There's either an interim, which is really coming up next month, or you can go for an accelerated build-out, elect the accelerated build-out where in our case would be really a March of 2020 build-out, and that would be a likely choice for us to choose accelerated build-out for 2020. We haven't been standing still. So we have done a lot in preparation. Obviously, in 3GPP, you have to get your spectrum in bands that are (sic) 3GPP authorized, which we've done with Band 29, 66 and 70. So most of our spectrum now is in licensed band. You have to do things like carrier aggregation and make sure you get different combinations where you can aggregate your spectrum, and we've done a lot of that. We still have a little bit more of that to do. We now have – or have sent our RFIs on the technology that we think we would utilize and are evaluating that. We have mostly Congress coming up. We could see everything in the world in the next couple weeks. And so, we've done some testing both on the broadcast side for 700 MHz and on fixed wireless. So we feel pretty good about it. I think there's probably always going to be some kind of skepticism, but it's not our first rodeo. It reminds me a lot of how we first entered the satellite television business where we decided in 1992 that we're going to build satellites. And then by 1995, we were launching those satellites – we launched our first satellite and we were able to cover the whole country and utilize our license. It was a complex three-year build of the satellite with complications with the Chinese launch, and we had to build uplink centers and connectivity around the country and build a dealer network and build encryption and set-top box and so forth. So, all those things had to kind of come together. My experience has been that those things go a lot smoother when you spend a fair amount of your time planning and not just doing things and then changing things. So I think we spend a lot of time planning, and we feel like we're in pretty good shape to go out and have a network that can take advantage of it. One of the things we're waiting on, of course, is the anti-collusion period. It's been kind of off and on for the last three years. And there are other people who have to build out networks for different reasons and there's probably some opportunity to partner when the anti-collusion period is up, which we hope will be up in the next six or seven weeks. We, obviously, want to see the results of the 600 megahertz auction and that we also want to see the results of our partners in AWS-3 spectrum with their litigation as to whether they are going to receive the discount or not in the AWS-3 auction. So all those things we think are going to come together in the next couple of months. And then I think we'll communicate both – we're going to be communicating both to the FCC and to the Street as to exactly what we're going to be doing.
Ric H. Prentiss - Raymond James & Associates, Inc.: That helps a lot. Thanks.
Charles William Ergen - DISH Network Corp.: So, obviously, we feel comfortable that we can have a very state-of-the-art network, and we think it can be built for materially less than current networks were built for.
Ric H. Prentiss - Raymond James & Associates, Inc.: Thanks.
Operator: Our next question comes from the line of Jason Bazinet of Citi. Please proceed.
Jason Boisvert Bazinet - Citigroup Global Markets, Inc.: Just have a question for Mr. Ergen, which is maybe a smidgen personal. But, hopefully you can answer it. So I think you're in your early 60s, and I've just never asked you this. I just don't have a sense of sort of how much energy and vigor you have to sort of go take on something new like 5G. Do you mind just sharing with us a bit about sort of how you're thinking about your work plans over the next, call it, five or 10 years?
Charles William Ergen - DISH Network Corp.: Yeah. I mean – I guess I can kind of answer that. I mean, I think that any time you can get new challenges, you can get pretty invigorated. I don't think that I'm going to be – I think that my role is a bit more of a coach than a player or a bit more of a General Manager maybe than a coach. So I don't – and so I think we've built a good team around here to go out and execute on some of the opportunities that we see out there. But 5G is particularly exciting to me, particularly the Internet of Things, because when you start thinking about – and so any time you're passionate about something, I think you just have – you have a different set of energy. I mean, I'm pretty impressed with our President who's 70, who is a bit older than I am and seems to have more energy than people might have been younger than him in the past. So I think it really depends on if you have the passion or not. And the Internet of Things is so interesting because, A, the fact is that billions of devices are going to be connected, and it's machines or microprocessors or automobiles, it's the healthcare, it's industrials, agricultures, entertainment, whether it be virtual reality, augmented reality, municipal, utilities, all those things are going to be connected with the new technologies. And somebody is going to lead the way. And it reminds me a lot of – it reminds me to some degree of the advent of the Internet. And it's going to be that – and we can play – we have the core ingredient for the Internet of Things, which is spectrum and the ability to connect things, both inside and outside the home. So I'm excited about that and about what we can do as a company. And I think we can make – look, I don't know that we're going to make a big difference on how you make a phone call, but I think we can make a big difference in how you connect things. And part of our strategy has been, in past auctions, is we look at – the FCC always sets the pricing based on population. But in past auctions, we've always, maybe, thought that was shortsighted in the sense that we really look at auctions as the ability to connect to microprocessors and machines and things. And when you do that, you're not talking about 3 million population in the Denver area, you're maybe talking about 1 billion population of things you connect to, and that gives you a different focus on how you might approach those things. It's very similar to how we think spectrum is a bit asynchronous, and we're probably one of the first people to think about it that way. So we just think about the network a different way, and that's pretty exciting because we can make a difference there. And we can make a difference in productivity. We can make a difference in people's lives. So, while you hopefully make a profit, you're also increasing productivity in the United States in a number of ways. So that was a long-winded answer.
Jason Boisvert Bazinet - Citigroup Global Markets, Inc.: We hope you make a profit and maybe increase productivity, but thank you.
Operator: We will now take our final question from the analyst community. We will begin the media portion of this call following the answer to this final analyst question. Our final analyst question comes from the line of Tom Eagan of Telsey Advisory Group. Please proceed.
Thomas William Eagan - Telsey Advisory Group LLC: Yeah, great, thanks. Just a follow-up on two points. First, Charlie, could you give us some kind of estimate on what you think the cost of the network build could be? And then I have a follow-up. Thanks.
Charles William Ergen - DISH Network Corp.: Yeah. Because we're still going through all our quotes and things, it would be probably be premature to do that. But it is materially – and obviously, you would build a network in phases, so – but it would be materially less than networks that have been on build in the past. I mean you definitely can do things in 5G and with the virtual network that you just can't do in the past. And the Internet of Things, particularly in narrowband of Internet of Things, you can get much deeper coverage from a single tower site, so you in theory would need less tower sites. And those savings can be material. So, certainly we'll share with the Street as we get a bit more detail around that. But we're not that far away from that by the way in terms of how we're going to build out.
Thomas William Eagan - Telsey Advisory Group LLC: Okay, thanks. And then for Roger...
Charles William Ergen - DISH Network Corp.: Some of it could be that the – again, the other part of is where you can build out with a partner, for example, they're going up – I mean, T-Mobile has talked about building out 600 megahertz next year to the extent that they're going up to a tower and you can attach some of your product at the same time you both can share in the savings. AWS-3 – AT&T is talking about building AWS-3 and WCS, and Verizon is talking about AWS-3. And there is FirstNet build that's going to happen. So, there's going to be a lot of build, Fegato's (35:35) got to build and increase their network. So, there's a lot of people out there that will be building, and there's probably an opportunity to save in partnership with – where both parties reduce costs. That part we probably won't have as much visibility to the short-term.
Thomas William Eagan - Telsey Advisory Group LLC: Yeah. And then for Roger, we've seen surprising success with individual networks launching OTT services, like at CBS. Should we see more of those individual channel OTT services, does that pose more risk to Sling, or do you think that that fragmentation is more of a benefit for Sling? Thanks.
Roger Lynch - DISH Network Corp.: The way I think about that is that a decade ago, five years ago, you got a bundle of channels from your Pay-TV operator, and that was really your only choice. Buy the big bundle of channels, get to watch everything. And the launch of Netflix streaming in combination with the growth of OTA, use of antennas, has created an alternative. And then you layer on these, sort of, direct-to-consumer services that are launching and the way I think about bundles today is everybody creates their own individual bundle. You don't go to one company – and I'm talking mostly about Millennials right now, but obviously, as they age up, we'll see this permeate of the age groups as people put together their own bundle. So, they may take an antenna and Netflix and Sling, we see that combination over and over and over again. And then they may add on some other direct-to-consumer service that program has had. And that really – I think that insight from the beginning is what has driven our strategy. So our strategy has never been just to replicate that big bundle of channels because we don't think that's really where consumers are going. Our strategy is to tap into the growth markets of broadband-only homes, use of antennas, people who want more à la carte-like experience with TVs. So, if you look at our packaging, we have a low base price, and then you add the genre mix that you want on top of that. So we're trying to tap into that, what I see as a growing segment of people who are creating their own bundles, and I think services like what CBS is doing sort of taps into that same mindset.
Thomas William Eagan - Telsey Advisory Group LLC: Great. Thank you.
Operator: We will now take questions from members of the media. Our first media question comes from the line of Scott Moritz of Bloomberg. Please proceed.
Scott Moritz - Bloomberg News: Hey. Great. Thanks. Charlie, back in the – kind of the LTE early days, you had a vision for building kind of the mobile video network that would compete just with the other carriers but also perhaps cable. Now that 5G is in your sights, how has your vision changed, if at all?
Charles William Ergen - DISH Network Corp.: It hasn't changed that much. I think there's a couple things going on. One of the things that 5G does with mobile video is it allows you to – it's going to allow you to use – and correct me if I'm wrong, Tom, because I'm not always the most technical person, but it allows you to use all of your bandwidth within in what's called eMBMS broadcasting, so you can use all of your bandwidth in a broadcast mode. When we're looking at – in 4G, I think we were only able to use 60% of the bandwidth within the broadcast mode. So the 5G will make it incrementally more efficient. I think you also have to look and see – we'll also have to look and see what happens with ATS-3 and broadcasters, so we do think there's some synergy potentially with broadcasters themselves as the 3.0 ATSCs comes out. You want to add something to that, Tom? I'm sure I bungled that.
Thomas A. Cullen - DISH Network Corp.: No. From a strategy standpoint, we still believe wireless and video are clearly converging. And when we started talking about that five years ago, it wasn't as evident as it is now. We've had some changes when we agreed to lower the power level on the E-block that changed some, what we were able to do with the 700 MHz E. But as Charlie said, when you move to 5G, the capacity is going to be so much greater that it will enable new use cases beyond just streaming video.
Charles William Ergen - DISH Network Corp.: And I think, one of the things I think that's not really understood maybe by people is that a lot of what Roger does, the original vision of Sling was not a consumer product, it was to get the video in the cloud so it was prepared for a wireless network. But Roger said, well, if we're going to do that, we might – there's probably a business in selling that, if we can get the programmers to – onboard to take a look at the new way of monetizing their assets. And so, Sling became actually a product as a result of a strategy to make wireless available for – video available for wireless. But the actual start of that was to get the video in the cloud to prepare for wireless.
Scott Moritz - Bloomberg News: Great. And if I could just follow, you mentioned that you could build a 5G network more cheaply than prior networks have been built. Where do you get the cost savings in that network build?
Charles William Ergen - DISH Network Corp.: I mean, there's a number of areas. And again, I'm probably not the most technical person. But certainly, the network would be all IP. So you're not carrying around 2G and Edge and switch networks technology that makes everything much more complex, as an example. The second thing is you're able to use a core. You can put a much simpler radio on the tower because the smarts are all in the cloud because the connectivity to the cloud is much better now. Most towers have fiber back to the cloud, and then you can do kind of a hub and spoke things. AT&T is probably the leader in that today, but they've got to redo their whole network, whereas we can start from that from scratch. And finally, some of the technical features of 5G particularly IoT features allow you to potentially propagate and get much, much greater depth of coverage off of a single tower. And that's material. And so it reduces the number of towers that you might need, you want to – so. But those are just any number of things that – those are probably highlights, but there's other things that would allow you to build a network much less expensively.
Operator: Our next question comes from the line of Anjali Athavaley of Reuters. Please proceed.
Anjali Athavaley - Reuters News Agency: Hi. Thanks for taking my question. We had a report recently that Sprint's owners would be interested in pursuing a deal with T-Mobile after the spectrum auction is over. And I wondered if you had any thoughts on how further consolidation in wireless might affect how you'll be looking at M&A this year?
Charles William Ergen - DISH Network Corp.: I think there's always been the thought within the wireless industry, the consolidation may make sense. There's a lot of capital CapEx to build networks. And what extent you can share that either through M&A or share that in another way, any time you can reduce costs from a company perspective that makes some sense. What that effect is on consumers and competition, of course, is a different question. So I personally think that because people really haven't been able to have discussions over the last three years, number one. And number two, that you have a change in administration that potentially may be more favorable to M&A, that there certainly will be a lot of – there'll probably be a lot more rumor than fact. But I'm sure there will be discussions among any number of parties that are in the wireless business today and people who maybe are not in the wireless business today. And, I would imagine that – we're not the biggest company, we're not going to drive that process, but obviously, many of the assets that we hold could be involved in that mix.
Anjali Athavaley - Reuters News Agency: Got it.
Operator: Okay. Our next question comes from the line of Shalini Ramachandran of Wall Street Journal. Please proceed.
Shalini Ramachandran - The Wall Street Journal: Hey, Charlie. I wanted to ask a couple of questions. One, how do you think the new administration, I just want to get a bit more color from you about how it will affect DISH's ability to get into the wireless business and participate in M&A, specifically since the new Chairman, Ajit Pai, was quite a vocal critic of DISH during the whole discount saga.
Charles William Ergen - DISH Network Corp.: Well, I mean, I think that – I mean, I don't know how the new administration will be as it relates to DISH. I mean, I think that because they are – and I think – and Chairman Pai was critical of the discounts that the DEs received in the auction. But again, I think we just have an honest disagreement on that because we feel like they followed the rules, and that's now for an independent party to decide. And, obviously we live with the decisions one way or the other. But the current Chairman is certainly pro-consumer. I think he's pro-competition and I think that bodes well for the things that we're doing at DISH, because that's a very similar attitude that we have. And I think that he will be – I think he'll be aggressive to bring new spectrum to the market, new features, and new services for consumers. So I think that bodes well for us because that's exactly what we want to do.
Shalini Ramachandran - The Wall Street Journal: Got you. And one other follow-up, I guess, to the previous question. Just given the 2020 build-out deadline, and I guess I understand the way that you are talking about maybe building out with more inexpensive technologies than what was previously used. But do you feel like you have to do any kind of M&A deal with a wireless carrier in order to meet that deadline, or is there an organic way to build out with those inexpensive technologies you mentioned and by partnering like you said instead? Like, is there a plan B if M&A doesn't work out?
Charles William Ergen - DISH Network Corp.: Yeah. No, I think that we can organically – I think our baseline is that we organically will meet – it's only a small portion of our spectrum that we have in 2020, some is 2024, and some is 2028 or something. But we will have an organic – our focus has been on organic build-out for the 2020 timeframe. And obviously, even without M&A, I think as others build out, there's opportunities to do some joint things together and save both company's money. And obviously, your prediction is as good as mine as to where M&A goes in the industry other that we're not the guys that are going to drive that. Somebody else is going to drive that train.
Shalini Ramachandran - The Wall Street Journal: All right. Thank you.
Operator: Okay. Our next question comes from the line of Todd Shields of Bloomberg. Please proceed with your question.
Todd Shields - Bloomberg LP: Hi, Charlie, Todd Shields with Bloomberg News in Washington. Interested in the airwaves that do face the build-out deadline for next month, people have been talking about whether you sell or build those airwaves basically or lease them out some way. So today you're definitively saying you're building for sure, and you're not going to sell those airwaves or lease them out, the AW4s? Thank you. AWS-4s, sorry.
Charles William Ergen - DISH Network Corp.: Well, I'm definitively saying that we believe that we have a plan to build out our – the part of the spectrum that's due in 2020, that's what – we certainly have that as a focus. Obviously, things – as people – as technology changes and events change and, to the extent, that there's events that happen in the industry, obviously, things could change. Right? But we certainly believe we can control our own destiny.
Todd Shields - Bloomberg LP: Thank you.
Charles William Ergen - DISH Network Corp.: That we're not – we do not need to do an M&A transaction to meet the build-out schedule.
Todd Shields - Bloomberg LP: Thank you.
Operator: And our next question comes from the line of Mike Farrell of Multichannel News. Please proceed.
Mike Farrell - Multichannel News: Hi, guys. Thanks for the question. I just had a quick thing about Viacom and their plans to kind of focus on six core networks. I'm just wondering what you guys are thinking about that. Is this kind of a precursor to maybe that the bundle finally gets broken up? I mean, how do you think this is going to kind of affect you guys and just programming, in general, going forward?
Charles William Ergen - DISH Network Corp.: This is Charlie. I think it's smart. I think that's a reasonable strategy. I think that there are probably too many channels out there today and there are channels that we know are lightly viewed that consumers have to pay for. And with the advent of competition from Netflix and Amazon and Apple and other people who are now in the programming business, I think that it's – I think what Viacom is doing is wise. I don't think – I think there's still value in some of their other channels, and I don't think they're giving up on those channels. I just think they just – I think just think they're going where the eyeballs are going, and I think that's a reasonable strategy, and I think we'll probably see other content providers focus on fewer channels but make them better. Because if they don't, they're going to get eaten up by the new entrants into the production business.
Thomas A. Cullen - DISH Network Corp.: Operator, I think we have time for one more call – question from the press.
Operator: Okay, very well. And our last question comes from the line of Jimmy Schaeffler of The Carmel Group. Please proceed.
Jimmy Schaeffler - The Carmel Group: Hey, good morning. My question is for Charlie and for Tom. Fixed wireless and unlicensed spectrum plans have been announced of late by the likes of Windstream and Verizon and AT&T and Charter and Google. Could you provide DISH's thoughts about unlicensed spectrum in fixed wireless today?
Thomas A. Cullen - DISH Network Corp.: Hey, Jimmy, this is Tom. There was quite a bit of fanfare around 28-gig a year ago this month. And I saw recently that now there's a number of trials to be deployed later this year. We think it's promising, but a little early to predict where it comes out. And it incidentally is part of the EchoStar transaction that we announced earlier in the month. We will pick up 28-gigahertz that they have licenses for in four markets in the U.S. So it will give us an opportunity to test with 28-gigahertz as well. And then we think in the long run bringing more spectrum to the market will serve the public interest. And related to that, we have the 12.2 to 12.7 gigahertz 500 megahertz of spectrum that has to be coordinated with DBS, but we think there's a path to bring that to market in a two-way fashion. And we have implemented some filings with the FCC under the previous administration to move that forward into a rulemaking process. And we're hopeful that will proceed under the current administration.
Jimmy Schaeffler - The Carmel Group: Okay. And just one quick follow-up. Thanks, Tom. For Charlie, security, when you look at a satellite, is it better down the road in terms of protecting people's security because of fewer parts in the pipe?
Charles William Ergen - DISH Network Corp.: I don't know that I'd say it that way, Jimmy, because once you get down from the satellite, you start getting into the infrastructure. So I think that – I mean, I think security is a core resource that we have at DISH. I mean, we know a bit about it. And as an example, whether it be your home security system or whether it be video secure or whether it be a network with Internet of Things, security – people are going to want different varying levels of security. Some cases perhaps a vending machine reporting in that they're out of Coke. People may not care about security, but you're certainly going to care about your camera on your front door being secure. So – and you're certainly going to care about your utility meter being secure. And you're going to care about your health information being secure. So it's just one more thing that we think we have a core competency in, and it will be part of what we do in the future.
Jimmy Schaeffler - The Carmel Group: Thank you.
Thomas A. Cullen - DISH Network Corp.: All right, operator, I think that wraps it.
Operator: Thank you, ladies and gentlemen. That concludes the conference call for today. We thank you for your participation and ask that you please disconnect your line.